Operator: Good morning, ladies and gentlemen, and welcome to the Talos Energy First Quarter 2025 Earnings Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Tuesday, May 6, 2025. I would now like to turn the conference over to Clay Jeansonne. Please go ahead.
Clay Jeansonne: Thank you, operator. Good morning, everyone, and welcome to our first quarter 2025 earnings conference call. Joining me today to discuss our results are Paul Goodfellow, President and Chief Executive Officer; and Sergio Maiworm, Executive Vice President and Chief Financial Officer. For our prepared remarks, please refer to our first quarter 2025 earnings presentation that is available on Talos’ website under the Investors section for a more detailed look at our results and operations update. Before we start, I’d like to remind you that our remarks will include forward-looking statements subject to various cautionary statements identified in our presentation and earnings release. Actual results may differ materially from those contemplated by the company. Factors that could cause these results to differ materially are set forth in yesterday’s press release and our Form 10-Q for the period ending March 31, 2025, filed with the SEC. Forward-looking statements are based on assumptions as of today, and we undertake no obligation to update these statements as a result of new information or future events. During this call, we may present GAAP and non-GAAP financial measures. A reconciliation of certain non-GAAP to GAAP measures is included in yesterday’s press release, which was furnished with our Form 8-K filed with the SEC and is available on our website. And now, I’d like to turn the call over to Paul.
Paul Goodfellow: Thank you, Clay. Good morning, everyone, and thank you for joining us on our call today. I’d like to begin with some remarks on our financial and operational results for the quarter. Following that, I will hand the call over to Sergio who will provide a more detailed overview of our financial performance and guidance. Finally, I’ll conclude with some closing thoughts before opening the call to Q&A. I want to start by saying how honored I am to be here and join you all for my first earnings call as Talos’ CEO. Over the past two months, I spent a lot of time connecting with our employees and stakeholders. These conversations have been invaluable. They’ve given me a deeper understanding of where we stand as a company, the challenges we face and the opportunities ahead. I’ve spent my entire career in the oil and gas industry with a particular focus on deepwater operations. With over 30 years of experience, getting the chance to lead a company like Talos presented an extraordinary and exciting opportunity. Talos has a solid asset base in the Gulf, along with a history of operational performance. The company’s established infrastructure, coupled with its ability to capitalize on growth opportunities positions it well in the industry. However, what has stood out even more is the entrepreneurial culture and the sense of pride shared by Talos’ talented and skilled workforce. It is something I noticed early on in my time here and it is a fundamental strength that I intend to build on during my tenure. I’d like to thank our Talos team for their warm welcome, sharing their perspectives and their hard work and dedication that delivered the strong results that we will discuss with you today. We are leveraging our unique culture, history and strengths to enhance our assets and foster stronger relationships with both internal and external stakeholders. By maintaining open communication and collaboration with stakeholders, employees, shareholders, analysts and partners, we gain valuable insights that drive progress and build on Talos’ success. My goal is to take a very good company and make it great. I believe great companies are built on continuous improvement. So I’m challenging our entire team to enhance efficiency and reduce costs across the Board. We’re making steady progress through the first 100 days as planned, advancing the development of our go forward strategy. This plan is built around three strategic lenses, the near-term, medium-term and long-term to build upon our strong assets and further strengthen the organization. I understand that you are eager for more details. Rest assured, I plan to present the full plan to you in the coming weeks. Now I’d like to address our strong first quarter results starting with Slide 4. Our first quarter results demonstrate our continued focus on operational execution and consistent free cash flow generation. We’re extremely proud that the first quarter marks our fifth consecutive quarter of record production. This is also highlighted on Slide 5. For the first quarter, we achieved production totaling 100.9 thousand barrels of oil equivalent per day, which was at the top end of our quarterly guidance range. The production was comprised of 68% oil and including the NGL barrels was 78% liquids. We reported record EBITDA of $363 million for the first quarter, which equates to an EBITDA netback margin of about $40 per barrel of oil equivalent. We believe we have consistently ranked in the top quartile among public E&P companies in netback margins as shown on Slide 6. Our CapEx in the quarter was $118 million and we spent an additional $10 million on plugging and abandonment activities. We’re executing our plugging and abandonment activities with a prudent approach. Typically, these activities are better performed during the summer months despite potential weather disruptions. As planned, we anticipate an increase in plugging and abandonment expenditures throughout the remainder of the year. After taking into account our capital expenditures and plugging in abandonment spending, we achieved record free cash flow of $195 million for the quarter. Given our robust free cash flow and the inherent value of our asset base, the Board has approved an increase in our stock repurchase authorization to $200 million. We plan to execute the share repurchase plan through a structured programmatic approach and we expect to allocate up to 50% of our annual free cash flow to share buybacks. During the quarter, we repurchased 2.3 million shares for some $22 million. Our strong financial results enabled us to maintain our leverage ratio of 0.8. At the end of the quarter, we built our cash balance to approximately $203 million while also repurchasing our shares and improved our liquidity to approximately $960 million. This positions us well to capitalize on opportunities that may arise in the current environment. Operationally, we continue to make real progress in our drilling program, finishing our completion operations on our Sunspear discovery and starting completion operations on Katmai West number 2. Moving to Slide 7 and 8, our 2025 drilling program is progressing as planned with significant progress across multiple projects. The teams from Talos and the West Vela drillship are working in close coordination, which is helping to drive smooth and efficient operations, ensuring we meet our operational milestones. At the Sunspear discovery, completion operations have concluded successfully. First production is anticipated late second quarter 2025 as planned, the well is being tied back to the Talos operated Prince platform with a projected gross production rate estimated to be between 8,000 to 10,000 barrels of oil equivalent per day and we hold a 48% working interest in Sunspear. Similarly, completion activities are underway on the Katmai West number 2 well and are nearing completion as planned. First production is also expected by late second quarter 2025. Production will flow back to Talos’ 100% owned and operated Tarantula facility, which is expected to be running at maximum capacity. Talos holds a 50% working interest in and operates the Katmai field. Following this, we expect drilling operations for the high impact Miocene prospect Daenerys to start late second quarter 2025. We estimate it will take around 100 to 120 days to drill the well with results expected mid to late third quarter 2025. Talos holds a 30% working interest in and serves as the operator of Daenerys. Additionally, our non-operated Ewing Bank 953 discovery and Monument project are advancing as planned as we continue making investments in ordering and procuring long lead equipment for both. As previously announced, preliminary assessments for Ewing Bank 953 indicate an estimated recoverable resource potential of approximately 15 million to 25 million barrels oil equivalent, which we believe should lead to a production flow rate of between 8,000 and 10,000 barrels of oil equivalent per day. The well will be a single subsea tieback to the Megalodon Platform which Talos partially owns. We estimate that Ewing Bank 953 is economic at some $25 per barrel. Talos owns a 33% working interest in the well and we expect first production by mid-2026. For our Monument development project, a large Wilcox oil discovery in the deep waters of the Gulf, we estimate proved and probable gross reserves of approximately 115 million barrels of oil, with production expected to tie back to the Shenandoah production facility. We expect to spud our first well at Monument by late fourth quarter 2025 with first production anticipated in late 2026. Talos has a significant acreage position in the lower Wilcox trend, which we believe represents a growth opportunity for the company. In March, we increased our working interest in Monument from 21.4% to just under 29.8%. These updates highlight steady achievements in our key operational projects. Before handing over the call to Sergio, I want to reiterate my gratitude to all Talos employees for their continued efforts driving our success while upholding our values and key priorities, safety and environmental performance and protection. Slide 9 highlights our continued attention to safety and protection of the environment. This success reflects our personnel’s commitment to rigorous safety systems, proactive maintenance, and to upholding the highest operational standards here at Talos. We never take safety for granted and view it as a critical practice that reflects our commitment to our most important asset, our people. With that, I’ll now turn over the call to Sergio.
Sergio Maiworm: Thank you, Paul, and good morning, everyone. For my remarks, I’ll touch on Talos’ commitment to financial discipline and our ability to deliver value through our strong cash flow generation and the flexibility of our capital budget, especially in light of lower commodity prices. Additionally, I’ll provide a review of our guidance and our commitment to maintaining a strong balance sheet and robust hedging positions. These efforts aim to support cash flow stability and enhance shareholder value. Let me begin by reaffirming our commitment to achieving our operational and financial objectives by focusing on disciplined capital allocation and free cash flow generation. Looking at Slide 10, we have a lot of flexibility in our budget for the second half of 2025, allowing us to adapt if oil prices decline further. Our confidence remains strong in the economic viability of the key projects we are advancing, though. For instance, our upcoming projects are expected to be economic on average at approximately $35 per barrel of oil. These projects underscore Talos’ resilience, flexibility and depth of portfolio even in a volatile commodity price environment, and that we’re positioned to balance short cycle and long cycle investments with robust returns aimed at delivering production, positive free cash flow and a robust shareholder value. As mentioned before, we still have significant flexibility on our capital plans in the second half of the year, and we’ll continue to monitor the market for continued softness in the commodity before using that flexibility. If oil prices deteriorate materially, we will consider postponing certain projects, but as of now, we’re convinced the right approach is to continue to invest in these projects. They are very economic at current prices, but more importantly, we need to think about this with a through the cycle prices approach. On Slide 11, we reaffirm our operational and financial guidance for 2025 regarding. Our capital expenditures guidance, we maintain our investment of $500 million to $540 million for the full year. In addition, we expect to execute between $100 million and $120 million of P&A and decommissioning activities this year. Our capital program reflects a strategic balance between low risk development and higher risk with the potential of high reward exploration projects. Asset management efforts are focused on cost efficient, high rates of return production additions and enhancements, as well as extending the operational lifespan of fields. Additionally, our ongoing geological, geophysical and land investments aimed to refine and bolster our inventory. Capital spending in the first quarter came in lower than anticipated due to several projects phasing into the second quarter. Looking ahead, we anticipate the second quarter will reflect the highest level of investment for the year, driven by our high level of activity and the phasing of projects, including some long lead items pushed to the second quarter as well as timing of certain projects. Turning to Slide 12, I want to briefly review how we think about our production guidance for 2025. As demonstrated by our first quarter production, Talos’ business has the ability to produce well over 100,000 barrels of oil equivalent per day, so the base business continues to be very healthy. As an offshore operator, we have a number of things that can impact production guidance. While these activities will temporarily lower our production rates for the year as shown on Slide 12, they are essential to ensuring the long-term safety, reliability and uptime of our assets. Additionally, we account for external factors such as weather related disruptions including hurricanes and estimated potential unplanned downtime affecting third-party facilities and pipelines. Taking all of these considerations into account, we continue to expect production for 2025 to range between 90,000 and 95,000 barrels of oil equivalent per day, of which approximately 69% is expected to be oil and 79% liquids. As previously mentioned, the warmer months are the ideal times for various offshore activities, including preventative maintenance on our assets and tieback operations. Specifically, scheduled downtime will impact operations at Brutus for routine maintenance and at Tarantula as we complete Katmai West #2. Additionally, the Prince facility will have some downtime as we tie back the Sunspear discovery alongside other scheduled third-party pipelines and maintenance projects. With that said, we expect our production for the second quarter will be between 92,000 and 96,000 barrels of oil equivalent per day. This range is a little wider than the one we provided for the first quarter, but that is a reflection of the increased levels of simultaneous operational activities we are expecting in the second quarter and therefore the greater uncertainty associated with that increased activity. But to be sure, we have confidence in this range and we’re very happy with how the base business is performing as well as how the various teams are executing on their projects. As I mentioned, our approach emphasizes adaptability amid the current lower oil price environment. Even at current price levels, we still expect to generate free cash flow for the full year. Our robust hedge positions over this timeline, as shown on Slide 13, support our cash flow stability in a fluctuating commodity market. This enhances our ability to continue generating free cash flow for the year even at oil prices in the low 40s per barrel. Approximately 42% of the projected balance of our 2025 oil production, based on the midpoint of guidance, is hedged at prices over $72 per barrel of oil. These hedges provide robust financial stability and support the 2025 capital program. The current mark to market value of these hedge positions stand at $120 million as of April 30 and is even higher today given the current outlook, which further highlights the effectiveness of Talos’ proactive risk management strategy. Maintaining a strong balance sheet is paramount to our financial strategy, providing us with options and flexibility for long-term success. As shown on Slide 14, our strong balance sheet includes no near-term debt maturities and no borrowings on our credit facility. At the end of the first quarter, we had $203 million in cash contributing to a total liquidity of approximately $960 million. Additionally, we maintained a leverage ratio of 0.8 times. We’re committed to maintaining our strong balance sheet to help ensure we’re prepared to capitalize on opportunities that may arise in the current low oil price environment. Our financial framework is built on a balanced three pronged approach that targets sustainable investments in the business in high returning projects to maintain production through the cycle and create value for shareholders. Looking at Slide 15, we focus on making strategic long-term investments to cultivate a sustainable asset base that generates robust returns through the cycle, strengthening our balance sheet to prepare to capitalize on opportunities and returning cash to shareholders. As Paul mentioned earlier, our board increased our share repurchase authorization to $200 million and we now expect to allocate up to 50% of our annual free cash flow to share buybacks in a programmatic approach. We believe our shares are significantly undervalued and repurchasing them represents a compelling use of capital. Our approach also reinforces our commitment to enhancing shareholder value while maintaining flexibility for future inorganic and organic growth opportunities. Maintaining the longevity and stability of Talos’ base business remains a top priority for how we allocate our cash, while also striving to maintain a robust balance sheet and generating meaningful free cash flow. With that, I’ll now turn it back to Paul for some additional closing comments.
Paul Goodfellow: Thanks, Sergio. As I wrap up our earnings call, I want to summarize the key achievements of the first quarter. Slide 16 presents a scorecard of these accomplishments, highlighting our commitment to delivering results and maintaining a strong focus on execution. This quarter, our robust operational performance and financial discipline led to solid results, including record production levels of 100.9 thousand barrels of oil equivalent per day, a record EBITDA of $363 million and record free cash flow of $195 million. Our approach to value creation is built around making long-term investments to maintain a sustainable asset base that delivers strong returns through commodity cycles. We are committed to strengthening our balance sheet to capitalize on the opportunities that may arise from the current environment while returning cash to our shareholders. By focusing on capital discipline, operational excellence and free cash flow generation, we have achieved some significant milestones I believe we have laid a solid foundation for 2025 and beyond. With that, we’ll open the line for Q&A. Thank you.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Greta Drefke from Goldman Sachs. Please go ahead.
Greta Drefke: Good morning and thank you for taking my questions and congratulations on the quarter. I wanted to first touch on your share repurchase authorization increase. Can you speak to any tentative expectations around the timeline for deploying the current authorization outstanding or any other key factors influencing how you’re thinking about the timing?
Sergio Maiworm: Hi, Greta, good morning. This is Sergio. Yes, happy to answer that. So the plan is effective immediately. So we have the ability to execute on that outside of our blackout windows, right. So we have the ability to execute on that immediately.
Greta Drefke: Great, thanks so much. And then for my second question, I just wanted to touch on maybe the second half of the year’s flexibility in the current program. Is the flexibility just mostly the unnamed Gulf of America, well, you have listed on Slide 7. And if current market expectations persist or worsen, do you expect any changes to non-operated project or capital expectations?
Paul Goodfellow: Hey, Greta. Good morning. This is Paul. Look, I’d say that we’ve kept guidance flat given the robust project set that we have for the rest of 2025 and going into 2026, those projects break even on average at around $35 per barrel. Now we do have flexibility probably up to the level of about 20% of the totality of the CapEx budget that we are guiding for the year. And we’ll look at making those calls as we go into the second quarter dependent on how the macro develops. And so it is more than just the unnamed project that we have at the moment. There are other projects that we can look to postpone, if we see that the macro is deteriorating further. But I would just reiterate that the breakevens of the project set that we have are incredibly robust. And of course we need to look at that through the lens of this 12 to 18-month investment cycle that it actually takes before we generate cash flow from those projects.
Greta Drefke: Thank you.
Operator: Your next question comes from Tim Rezvan from KeyBanc Capital Markets. Please go ahead.
Tim Rezvan: Good morning folks and thanks for taking my questions. I wanted to follow up on repurchases. They’ve been challenging for a lot of small cap E&P’s. Many management teams say, they won’t be cyclical, but they tend to kind of end up being cyclical without a lot of dry powder to buy at troughs. So Paul, can you – or maybe Sergio, can you explain when you say you’re going to be programmatic, what does that mean? And then when we look at that 50% of free cash flow level, is it your expectation that you would – if the share price stays kind of in the current range that you would sort of allocate that amount on an annual basis? Just trying to get more color on timing and intensity. Thanks.
Paul Goodfellow: Thanks, Tim. Let me maybe start with that. I think as we mentioned in the comments, balancing investing in the business with having a strong balance sheet and actually returning cash to shareholders via a buyback program is really our focus. And that’s why we announced that we would return up to 50% of free cash flow per year. And I think it’s in that that we talk about the programmatic effect. So rather than just doing it as a one off, we’re actually looking forward to say as we balance these three components of investing in the business, maintaining a strong balance sheet and actually returning cash to shareholders, we can actually look at where we are as a company, look at where the macro is, and then make that decision as to what proportion up to that 50% that we would look to return. That’s the conversation agreement that we have with the board, hence the announcement of increasing the level up to $200 million and also announcing it as a programmatic approach that looks to return up to 50% on an annual basis.
Tim Rezvan: Okay. Thank you for that context. And my follow up maybe for you, Paul, or even Sergio, it’s hard to control leverage, but it’s easier to control a debt balance, the team has made big strides getting debt below a billion dollars. So Paul, kind of what do you think holistically is sort of the right debt load for this company? And then related to that, some of your debt is now trading closer to 90% of par. So how do you think about the right level of debt and maybe being opportunistic on debt reduction if you can kind of pick some debt off at a discount. Thank you.
Paul Goodfellow: Let me make an opening comment and I’ll hand it over to Sergio to maybe fill in. I think we’ve said that it’s important that we maintain a strong balance sheet for us that is having leverage below one as we look at it over a period of time. That’s the work that we’ve done to get the balance sheet and that strength. And we will continue in that vein as we go forward. Again, balancing those three components of looking to invest in the business to maintain our free cash flow, maintaining the strength of the balance sheet, and then looking to also return cash to shareholders. So that’s the frame in which I think you should think about it. But let me hand over to Sergio maybe to fill in some of the color.
Sergio Maiworm: Yes, thanks, Paul. Tim, that’s a good question. Look, we are – as Paul said, we’re balancing all of those things, but from a total leverage or total debt load, we feel comfortable where we are. I think the business is doing really well, still generating free cash flow. So we’re in a really good spot. But as you pointed out, if the market presents us with opportunities to reduce that further, if the bonds trade off and we have the opportunity to buy them. We will consider doing that as well. So that is part of the broader frame that Paul talked about. But we’re not in a hurry to reduce that. We don’t feel like the business needs to reduce leverage or reduce debt that much more. But if there are opportunities to do so in a way that creates a better economic proposition for us, we will absolutely evaluate that.
Tim Rezvan: Thank you for the comments.
Operator: Your next question comes from Nate Pendleton, Texas Capital. Please go ahead.
Nate Pendleton: Good morning and congrats on a strong quarter.
Paul Goodfellow: Thanks, Nate.
Nate Pendleton: With the softness in oil prices, are you seeing any deflation on the cost side or increased rig availability that could benefit investing through the cycle, as you’ve mentioned previously?
Paul Goodfellow: Yes. Nate, good morning. Nice to speak to you, again. I would say it’s early in that cycle at this point in time. We’re not seeing mass reductions in terms of the price levels at this point. We do get indications that there is maybe some softness coming in the rig market for the second half of the year. But I think what’s important is the fact that we have breakeven projects in the $30s and $40s a barrel that allows us to have robustness against the current price environment that we see now. Clearly, if we stay at that level of price, we would expect the service sector in totality to maybe soften a little bit with respect to prices. But what’s important, of course, is that we drive efficient outcome and actually look for the total cost of the project and the well, that generally comes through having strong relationships as we have with the West Vela rig at the moment versus just always going after the marginal dollar. And so again, that is really the focus that we have looking at how do we drive down the cost of the project and therefore the breakevens in totality, but clearly, I think with the macro that we’re in at the moment. We would expect to see some softening as we continue into the second and third quarters of this year.
Nate Pendleton: Got it. Thanks, Paul. And referencing Slide 15, you talk about having the balance sheet to capitalize on potential opportunities. Is there a cash on hand target that you’re contemplating there? And how would you characterize the size of potential opportunities that you are looking to take advantage of?
Sergio Maiworm: Hey Nate, this is Sergio. There’s no target of cash balance on hand. I think as Paul mentioned and we’ve mentioned many times during this call is we’re going to look to what is the best deployment of that cash, whether that is investing in new organic opportunities, whether that is returning some of that cash to shareholders, whether that is repurchasing some of the bonds in the market or whether that’s some inorganic opportunity that we see in the market. All of those things are in consideration and we just have to look at the value that we can generate by doing that. Keeping that on the balance sheet certainly is an option as we continue to strengthen the balance sheet of the company. But that’s not necessarily a goal to keep a certain number of cash on the balance sheet. It’s just a matter of we’re waiting for the right opportunity to deploy that cash.
Nate Pendleton: Got it. Thanks for taking my questions.
Operator: Your next question comes from Phu Pham from ROTH Capital. Please go ahead.
Phu Pham: Hi, good morning. Thanks for taking my questions and congratulations on an isolated wires.
Paul Goodfellow: Thank you.
Phu Pham: My question is about LOE. I think like LOE has been low since fourth quarter 2024 and you have started again in the first quarter 2025. So I just want to ask like, was this because of any one time items? Is this going to be the runway moving forward for LOE?
Paul Goodfellow: Thanks, Phu, for the question. We have an incredibly strong and efficient operational organization here at Talos that really searches after every dollar of efficiency and effectiveness that it can take out of the business. And that I think is what you’re seeing through the first quarter of this year where operating costs are in the high teens, dollars per barrel. We’ve maintained the guidance because what we have not seen yet is sort of the planned maintenance activities that are just starting some of the intervention work that we will execute that will be counted as OpEx. But as I said in my comments, the challenge that we have and we’ve laid down to the organization is how do we drive continuous improvement and efficiency and how do we forge our own future of which one element of that will be how do we actually take cost and drive efficiency further into the business. So I would expect that the type of run rate that we see at the future, that we see at the moment is what we continue to see in the future. And clearly that is something that we will update about when we sort of roll out the broader strategic frame towards the back end of Q2.
Phu Pham: Thank you, that’s very helpful. Also, my second question is going to be about M&A. So given the macro headwinds right now, the low oil price environment, what do you think about the M&As? Like, what do you guys saying about that? Like, are you going to like looking for opportunities in the [indiscernible] Yes, just want to hear about that.
Paul Goodfellow: So the strategic frame that we’re developing is progressing well and as I just mentioned, we will come and share that with the markets towards the end of the second quarter. Clearly, as part of that Talos has shown that it can create significant value from both organic and inorganic activity. And we will continue to look at both tracks for accretive opportunities, whether that’s from being active in lease sales to looking at how we can deliver bolt-on type of opportunities into the portfolio as we did with the Monument project, but always with the lens of what is the incremental accretive value that we can create through that. And so yes, we will be looking at opportunities both within the Gulf and maybe outside the Gulf to actually further bolster the robustness of the company.
Phu Pham: Great, thank you so much.
Operator: Your next question comes from Michael Scialla from Stephens. please go ahead.
Michael Scialla: Good morning everybody. Paul, you mentioned the 12 to 18-month cycle for most of your investments. With that in mind, I wanted to ask about the visibility you have on activity that could impact next year’s production. I know you mentioned Ewing Bank should be online kind of mid-year and Monument late in the year. Are there any other exploitation projects you’re doing this year that could help keep production flat next year? Or would you expect based on what you’re seeing right now for production to decline?
Paul Goodfellow: I would say that the investment program that we currently think about for next year is probably in line with the levels that we are looking at today. We have a number of projects that are in the funnel that we’ll need to actually think about bringing through to maturity. And there are a number that are in the sort of exploration, going into the exploitation phase that would then add in to that. But that Michael is sort of work at his underway at the moment and we will build that as we go through the second and third quarters.
Michael Scialla: Are any of those possible to shift toward natural gas versus oil given the outlook for the two commodities or are they pretty well set on oil?
Paul Goodfellow: We are probably a liquid rich company. We have some projects that clearly have a higher proportion of gas, such as the Brutus wells that are performing incredibly well at the moment, which is why maybe you see that our total oil volume is slightly lower than the average that we’ve guided for the year. We will continue to look for robust projects that have low break evens where we can deploy our skills and that’s almost irrespective of whether they are oil or gas, given that this is a cyclical commodity markets in which we work.
Michael Scialla: One more if I could slip in. I know you’ve sold Zama your interest there way down. Looks like PEMEX is contemplating monetizing at least a portion of their interest and maybe giving up operatorship altogether. Is there any interest in that given that you have a looks like a distressed seller, especially if you could take over operatorship completely?
Paul Goodfellow: We’re very happy with the partnership that we have down in Mexico to Zama at this point in time and we’ll continue to work that project through to a potential investment decision later in the year.
Michael Scialla: Okay, fair enough. Thank you.
Operator: Your next question comes from Michael Furrow from Pickering Energy Partners. Please go ahead.
Michael Furrow: Hey, good morning. Thanks for having me on and taking my questions. Paul, I’d like to go back to one of your statements in the prepared remarks that Talos is well positioned to capitalize on growth opportunities. Typically, what we see with pullback in commodity prices, there’s a divergence between bid ask spreads which makes these inorganic growth opportunities a bit more challenged with the current macro environment. So my question is, is this dynamic at play currently right now in the offshore space and is that maybe what’s driving the change to the buyback program? And if so, should we anticipate buybacks returning to a more normalized rate at mid cycle prices when these growth opportunities return?
Paul Goodfellow: Hi Michael, thanks for joining. I would say that it’s not just about M&A, it’s about what is the cost at which we can for develop all of the opportunities that we have out in front of us. And we will look at the full suite of opportunities that we have in terms of looking at from an organic perspective of entering early in the life cycle in terms of leases all the way through to if there are assets where or opportunities more broadly where we can clearly bring added value because of the way we can integrate those assets, drive costs out, capture synergies with the footprint that we have, then we will absolutely look towards that. I would probably leave it at that at this point in time, given that this market is probably just starting to evolve.
Michael Furrow: All right. Great color. Appreciate it. Next, I want to hit on the West Vela that rig seems to be performing at or above expectations with completing of the Katmai West rigs, plans to be mobilized to drill the Daenerys. Upon successful drilling and completions there, what’s on deck for that rig? And where is that rig in terms of its contract and where does the company see that rig involved next year?
Sergio Maiworm: Hey Michael, this is Sergio. I’ll start and Paul can provide additional comments if needed. So we have the contract of the West Vela through the drilling of the Daenerys exploration well that we’re going to drill starting at the end of the second quarter. After that, I don’t believe the rig has any additional contracts. So we still have the ability to extend that contract or sign a new contract with that. That is also part of the broader opportunities in this lower commodity cycle. We may have better opportunities to lock in some differentiated rates and differentiated service costs as well. So it’s not just M&A, as Paul mentioned. There’s an ability to actually partner with some of the service providers as well and increase value through that. So – and the West Vela probably falls on that category as well. Like, if you continue to see softness in the oil markets, we may have even better opportunities to continue to lock up that rig for longer periods of time.
Michael Furrow: All right. Thanks. That’s great. I’ll turn it back.
Operator: Your next question comes from Tarek Hamid from JP Morgan. Please go ahead.
Nevin Mathew: Hi, good morning. This is Nevin on for Tarek. Of the bucket that you have built into your production guidance for weather and unplanned downtimes, how much of that is specific to hurricane season in 3Q? And can you quantify any potential upside from if we have a more modest hurricane season in 3Q?
Sergio Maiworm: Yes. Let me start on that and Paul can supplement the answer. Look, most of that is related to weather disruptions, right? We have a couple of different buckets there. And the bucket related to weather, it’s focused on hurricanes, potential loop currents, et cetera. Look, we have not even gotten into hurricane season yet, so I don’t want to speculate on what’s the potential upside. We tend to take a very conservative view on that. We tend to look at what’s the average disruption we’ve had over the last few years, and we tend to bake that into our projections. But obviously, we don’t control the weather. We don’t know exactly how that’s going to behave or perform. So I don’t want to speculate on what’s the potential upside on that one because there might be potential for downside as well if the activities – the hurricane activities is larger than what we expected. So I’ll just leave it at that. There’s still a lot to happen as we go into the second quarter and third quarter, which is where the biggest part of the hurricane season is.
Paul Goodfellow: Let me just add maybe a comment on the sort of the maintenance and the turnaround component. So we do have a significant set of activities this year both in terms of the planned maintenance that we do. And we focus on that because that is what helps drive our uptime towards the top quartile of the industry. In addition, we have some outages to take to tie in the Sunspear and Katmai projects, which will happen later in the second quarter. And so we have significant sort of maintenance and shutdown activities related to Katmai to Pompano, to Prince, to Brutus and then some other third-party related activities. Now, clearly, the focus on that as we sort of forge our future going forward is how do we do that in the most efficient and effective way as we can. But again, so the way we’re guiding that, I would say think about it as a midpoint that’s based off sort of current levels of performance that we’ve seen. But clearly, we will always be searching for ways to do that more effectively and to mitigate the risk of it taking longer than we had planned.
Nevin Mathew: Yes. I appreciate the color. Thank you.
Operator: Your next question comes from Paul Diamond from Citi. Please go ahead.
Paul Diamond: Thank you. Good morning. Thanks for taking the call. I just want to touch base quickly on Katmai West 2 and Sunspear both kind of tentatively lined up for first oil end of this coming quarter. Just want to get an idea of like how much of that is built into the 92 to 96 guidance, how we should be thinking about modeling that, the timing of that.
Paul Goodfellow: Yes. Thanks, Paul. And so yes, for both of those in our plan we have – we’ve built in to the plan that they will be on sort of at the midpoint of the range that we are planning with the rates that we’ve shared with you in terms of the 8,000 to 10,000 barrels a day for Sunspear, et cetera. Now clearly with any new well, there is always a possibility of those wells performing better. But there’s also a possibility of those wells maybe performing not quite as well as we expect. From everything that we’ve seen at the moment, I would say that the guidance range we have given you for those is extremely robust. But clearly, we will update you as we start to see those wells come on and start their production journey.
Paul Diamond: Understood. Appreciate the clarity. And just one quick one follow-up on OCTG. You mentioned that you’re pretty much pre-ordered well out on the horizon. Just want to get an idea if that was 2025 or if that extended to 2026 or if any potential tariff induced inflationary pressures could start to bite at that point.
Paul Goodfellow: Yes. So because we have one of the differentiations that Talos has is that we do look to design our offshore deepwater wells in a standardized way. That means that we can pre-purchase casings and tubulars and they have some fungibility between the projects that we have. And so where we sit at the moment is that the majority of all of the OCTG’s that we need for 2025 and well into 2026 actually we have under our control and a purchased and therefore our exposure to tariffs is minimal if you think about the well in totality because that part is taken care of.
Paul Diamond: Understood. Appreciate the clarity. I’ll leave it there.
Paul Goodfellow: Thank you.
Operator: Your next question comes from Noel Parks from Tuohy Brothers. Please go ahead.
Noel Parks: Hi, good morning. Just had a couple. Paul with your coming aboard and sort of taking a fresh look at the portfolio, I’m just thinking of the last few years, the company’s grown a lot through acquisition and as a result the company, its current size just definitely has more resources to apply to the various prospects. And I’m just wondering, do you sort of see the ownership interest, typical interest that the company has been taking in projects or retaining in projects as being about right now, considering the strength of the balance sheet, the benefits of higher interest as far as just higher impact on cash flow or are you sort of more in the board of maybe a broader set of projects, maybe at with somewhat lower working interest, just sort of be able to spread your bets. I just wonder if you have an inclination one way or the other.
Paul Goodfellow: Yes, Noel, look, I would say that the development of the go forward strategy that we’re working on is progressing well. As I mentioned, we’ll look to come to yourselves at the back end of the second quarter as I promised to do and share that with full color. Now within that we’ll look at the various time horizons in terms of how we think about how we drive through self help within the near-term. How we look at opportunities in the mid-term as well as over the longer-term, of course looking at all of those in parallel. Part of that will be how do we think about the risk return of the various sort of elements of the portfolio that we have. So clearly where we have development type of projects or where we are looking to bring infills back into the tremendous asset infrastructure footprint that we have. We will be willing to take a maybe much higher working interest in that type of an opportunity as compared to working on maybe the frontier where we would look to share that risk with partners as we are doing today. But as I said, that’s just a little bit of color and we’ll deepen that when we come and talk about strategy more broadly in several weeks time.
Noel Parks: Great. Thanks. Yes, I was thinking of it partly in the context of just with the acquired assets, the track record to date has been terrific as far as just success in the – in both the exploratory and the development project. So I just wonder if that meant that we’re at a technology threshold where just the average product is just somewhat less risky than we used to think of it as and…
Paul Goodfellow: Noel, but maybe one more comment on that. I think what it shows is the just tremendous capability that the organization at Talos has to take assets to integrate them and to create incremental value because of the capabilities that we have. And I think that’s maybe the lens at which you should think about this through.
Noel Parks: Great. And just my last one is, give just interested to hear your thoughts on the company branching out more internationally. It’s been a topic of discussion for a while and I was talking about exploration before. We are seeing more dollars going to the deepwater in general and in particular even some a little bit more exploratory work going on than we had for quite a while. So just any thoughts or interests you that are on your radar screen.
Paul Goodfellow: And the deepwater is an advantaged play segment in the energy complex in totality. It can give us advantage margins as well as sort of advantage carbon intensity, which is important as part of the go forward strategy that we’re working on, we’re looking at the totality of the opportunities that lay in front of us from organic opportunities for deepening where we are, to also looking at the global basins and where can we leverage our capabilities to actually create incremental value and take advantage of opportunities that may exist there. And so yes, we will look as part of the strategy work that we’re doing across the totality of that and we’ll share the outcome of that, as I mentioned in the end of the second quarter.
Noel Parks: Great. Thanks a lot.
Operator: Your next question comes from Jeff Robertson from Water Tower Research. Please go ahead.
Jeff Robertson: Thanks. Good morning. Paul and Sergio, given the commentary around this strong liquidity position that Talos has, can you talk about whether or not that’s actually attracting M&A activity or prospects of people who recognize your position and want to come talk to you about either acquiring or partnering on prospects?
Sergio Maiworm: Hey, Jeff, good morning. Look, we’re not going to comment on any discussions around M&A, right? So that’s not something that we typically do. But we’re very happy with the liquidity position that we are. That actually puts us in a very good spot from a strategic standpoint that we can actually act on potentially weaker situations for other companies or partners that need a strong partner to join them into opportunities, so we can farm into really good projects. So we’re very happy with the liquidity position that we have and we’re going to continue to look for opportunities to create value with for the company using that liquidity. But other than that, I can’t comment any further.
Jeff Robertson: Sergio, you’ve owned EnVen now for a little over two years and quarter north for one. Can you talk a little bit about how those assets or how your review of those assets is filling out your opportunity set for 2025, 2026 and beyond?
Sergio Maiworm: For sure. Look, we’re very happy with the acquisitions that we’ve made over the last two years. Each one of them set us in a course that is kind of led to where we are now with a very strong base production with really good and robust portfolio. So we’re very happy with how those acquisitions have performed. Some of them – some of the assets have really unlocked a really good upside potential for us. Katmai is a great example of that. But there are others in the portfolio. So we feel like the inventory that we’ve acquired plus the inventory that Talos already had and the inventory that the team continues to generate is very attractive, and as Paul said, very low break even prices. And I think those two acquisitions have just bolstered that. So we’re very happy with the outcome of all of those.
Jeff Robertson: Thank you.
Operator: There are no further questions at this time. I will now turn the call over to Paul Goodfellow, President and Chief Executive Officer. Please continue.
Paul Goodfellow: Thank you, Desiree. And let me thank you all for joining us this morning for the interest that you’ve shown in Talos and your questions. And we look forward to further engaging with you in the months ahead. And again, just a huge, huge thanks for your time this morning.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect your lines.